Operator: Ladies and gentlemen, thank you for standing by and welcome to the Eltek Limited fourth quarter and full year 2019 financial results conference call. At participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question and answer session. For operator assistance during the conference, please press star, zero. As a reminder, this conference is being recorded.  Before I turn the call over to Mr. Eli Yaffe, Chief Executive Officer, and Alon Mualem, Chief Financial Officer, I’d like to remind you that Eltek’s earnings release today and this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the Securities and Exchange Act of 1934, as well as certain non-GAAP financial measures. Before making any investment decisions, we strongly encourage you to read our full disclosures on forward-looking statements and use of non-GAAP financial measures set forth at the end of our earnings release, as well as to review our latest filings with the SEC for important material assumptions, expectations and risk factors that may cause actual results to differ materially from those anticipated and described in such forward-looking statements. These forward-looking statements are projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. Eltek undertakes no obligation to publicly release revisions to such forward-looking statements to reflect events or circumstances occurring subsequent to this date. I will now turn the call over to Mr. Eli Yaffe. Mr. Yaffe, please go ahead.
Eli Yaffe: Thank you. Good morning everyone. Thank you for joining us and welcome to Eltek’s 2019 fourth quarter and full year earnings call. With me is Alon Mualem, our Chief Financial Officer. We will begin by providing you with an overview of our business and summary of the principal factors that affected our results in 2019, followed by the details of our financial results. After our prepared remarks, we’ll be happy to answer any of your questions. By now everyone should have access to our fourth quarter press release, which was released earlier today. The release will be available on our website at www.nisteceltek.com. This is the fourth quarter in a row that we achieved both operations and net profit with cumulative 12 months EBITDA of $3.8 million. We achieved this result despite higher financial expenses due to the devaluation of the U.S. dollar against the Israeli new shekels during 2019. Our revenues in the full year of 2019 increased to $34.8 million from $33.9 million in 2018. Our revenues in the fourth quarter of 2019 rose to $8.6 million from $7.8 million in the fourth quarter of 2018. We are glad that the fourth quarter results continued to reflect the successful implementation of our previously announced turnaround plan. The outbreak of the coronavirus has created new operational and business challenges which required quick adjustment to enable us to maintain our production of PCBs while maintaining the safety of our workforce. We see both risk and opportunities for our company in the new environment with new opportunities developing in the medical device markets. As reported in our release of March 19, 2020, Eltek was well prepared early enough to cope with the spread of COVID-19 both with respect to maintain the health of our employees and maintain our access to raw materials and ability to maintain our operations. Some of the new medical devices for which we are providing PCBs are directly related to the efforts to combat the COVID-19 pandemic. Most of this work began during the first quarter of 2020 and is continuing. At this point, I can report that our revenues in the first quarter of 2020 were higher than the same quarter of last year. We are proud to be part of development of a new type of ventilator to be used in intensive care units. Also, we were involved in the rapid development of an upgrade control panel for low-grade ventilators, development of massive remote monitoring of large corral temperature and Bluetooth disposable patch non-invasive that transmits large quantities of medical data from isolated patients to the hospital control room.  We also see an opportunity to grow our business in the U.S. due to the trade war between China and the U.S., which was possibly accelerated due to the COVID-19 spread. We see indicators reflecting this change while Eltek’s biggest competitor in the United States increases its production lead times. We also were noticed by some of our customers that some of our competitors in Europe were shut down due to the virus. As announced before, due to the third quarter of 2019, we filed F3 shelf registration statement to provide the company with the ability to raise additional funds to support our plan to grow and expand our business.  The increase in our top line reflects the continued market recognition of our high end quality and reliable products. Our customers continue to see the value proposition of our products and have a great deal of trust in our company. We are well focused on addressing the challenges as the widespread health crisis is on us, and we are working diligently on expanding our business while maintaining the trend of improving operational efficiencies.  I will now turn the call over to Alon Mualem, our CFO to discuss our financials.
Alon Mualem: Thank you Eli. I would like to draw your attention to the financials for the full year and the fourth quarter of 2019. During this call, I will also be discussing certain non-GAAP financial measures. Eltek uses EBITDA as a non-GAAP financial performance measurement. Please see our earnings release for its definition and the reason for its use. First, I will go over the highlights of the full year of 2019. As Eli said, revenues for the full year of 2019 went up to $34.8 million from $33.9 million in 2018. Gross profit more than doubled in 2019, reaching $6 million or 17.3% of revenues compared to $2.6 million or 7.7% of revenues in 2018. Net profit was $1.8 million or $0.48 per share in 2019 compared to a net loss of $2.6 million or $1.28 per share in 2018. EBITDA was $3.8 million in 2019 compared to negative EBITDA of $420,000 in 2018.  During 2019, we enjoyed positive cash flow from operating activities of $2.6 million compared to an operating cash outflow of $813,000 in 2018. As of December 31, 2019, we had cash and cash equivalents of $1.6 million compared to $992,000 as of the end of 2018.  Now I will go over the highlights of the fourth quarter of 2019 compared to the fourth quarter of 2018. Revenues for the fourth quarter of 2019 were $8.6 million, up from revenues of $7.8 million in the fourth quarter of 2018. Gross profit was $1.5 million in the fourth quarter of 2019 compared to $603,000 in the fourth quarter last year. Net profit was $370,000 or $0.08 per share in the fourth quarter of 2019 compared to a net loss of $631,000 or $0.31 per share in the fourth quarter of 2018. EBITDA was $817,000 in the fourth quarter of 2019 compared to negative EBITDA of $43,000 in the fourth quarter of 2018. Cash flow used in operating activities was $141,000 in the fourth quarter this year compared to $136,000 of cash provided from operating activities in the fourth quarter of last year.  During the second quarter of 2019, we completed the rights offering to our shareholders and raised the net amount of $3.3 million. The proceeds from the offering improved our working capital and were used to reduce our line of credit, invest in plant and equipment, and for general corporate purposes.  As Eli mentioned before, during the third quarter of 2019 we filed a baby shelf registration statement to provide the company with the ability to raise additional funds to support our plan to grow and expand our business.  We are now ready to take your questions.
Operator: [Operator instructions] The first question is from Alan Sir [ph] of PBS Holdings. Please go ahead. Hello? The next question is from Drew DePatie of Edward Jones. Please go ahead.
Drew DePatie: Good morning. Thanks for the information this morning. Eli, could you tell us where you see the biggest uptick in demand in the coming year? 
Eli Yaffe: Sorry Drew, can you repeat the question? I don’t think that I understood the question.
Drew DePatie: Sure, no problem. Can you tell us where you see the biggest uptick, the biggest increase in demand in the coming year?
Eli Yaffe: Yes, I believe it’s going to be in the traditional areas that Eltek is right now involved, and on top of it we have--which is defense, aerospace, aircraft, not civilian but military aircraft, and of course medical devices, and the weight is going to be changed for medical devices, at least for the next year. I project that it will be a significant amount.
Drew DePatie: Great, thank you.
Operator: IF there are any additional questions, please press star, one. If you wish to cancel your request, please press star, two. Please stand by while we poll for more questions. The next question is from Dean Chin [ph]. Please go ahead.
Dean Chin: Hi. You mentioned about--congratulations on the quarter. You mentioned about exchange rates and how they may affect Eltek. How did you see exchange rates affecting this year?
Alon Mualem: During the first quarter, we see devaluation of the Israeli shekel compared to the U.S. dollar, and it has a positive impact on our financial expenses because most of our labor costs and some operational costs are dominated by the Israeli shekel. Whenever there is a devaluation of the shekel versus the U.S. dollar, we see improved financial expenses.
Dean Chin: Great, so you’re going to have an increase in revenue year-over-year from first quarter and then you’re going to get a little bump from exchange, from the exchange rate?
Alon Mualem: We still don’t have Q1 numbers, but we believe that there will be some improvement also in the financial expenses.
Dean Chin: Fantastic, thank you so much.
Alon Mualem: Thank you.
Operator: There are no further questions at this time. Before I ask Mr. Yaffe to go ahead with his closing statement, I would like to remind the participants that a replay of this call will be available tomorrow on Eltek’s website, www.nisteceltek.com.  Mr. Yaffe, would you like to make your concluding statement?
Eli Yaffe: Yes, thank you. Before we conclude our call, I would like to thank all our employees for their efforts of making Eltek profitable again and capitalize on our strengths to renew our position as a leading high end PCB manufacturer. I would like to thank once gain to our customers, partners, investors and Eltek team for their continued support. I wish everyone good health. Thank you for all joining us on today’s call. Have a good day.
Operator: This concludes the Eltek Limited fourth quarter and full year 2019 financial results conference call. Thank you for your participation. You may go ahead and disconnect.